Operator: Greetings, and welcome to the Intelligent Protection Management Corporation's Second Quarter 2025 Results Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Joe Diaz of Lytham Partners. Sir, the floor is yours.
Joe Diaz: Good afternoon, and welcome to all participating on today's call to review the financial and operating results of IPM for the second quarter ended June 30, 2025. As the operator indicated, my name is Joe Diaz with Lytham Partners. We are the Investor Relations representative for IPM. By now, everyone should have access to the earnings press release, which was issued after the close of market today. This call is being webcast and will be available for replay. During the course of this call, management will include statements that are considered forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995, including forward-looking statements about future results of operations, business strategies and plans, our relationships with our customers as well as market and potential growth opportunities. In addition, management may make additional forward-looking statements in response to your questions. Forward-looking statements are based on management's current knowledge and expectations as of today, and are subject to certain risks, uncertainties and assumptions related to factors that may cause actual results to differ materially from those anticipated in the forward-looking statements. These expectations and beliefs may not ultimately prove to be correct. A detailed discussion of such risks and uncertainties are contained in the company's filings with the SEC, including its annual report on Form 10-K for the year ended December 31, 2024. You should refer to and consider these factors when relying on such forward-looking information. The company does not undertake and expressly disclaims any obligation to update or alter the forward-looking statements, whether as a result of new information, future events or otherwise, except as required by applicable law. On this call, management will refer to adjusted EBITDA, a non-GAAP measure that when used in combination with GAAP results, provides IPM's investors with additional analytical tools to understand the company's operations. For adjusted EBITDA, management has provided a reconciliation to the most directly comparable GAAP financial measure in the earnings press release, which has been posted to the Investor Relations section of the company's website at www.ipm.com. At this time, I'd like to turn the call over to IPM's Chief Executive Officer, Jason Katz. After Jason's remarks, we will hear from IPM's CFO, Kara Jenny, and we'll conclude with investor questions that were e-mailed to the company in advance of this conference call. Jason, the floor is yours.
Jason Katz: Thanks, Joe, and good afternoon, everyone. We greatly appreciate you taking the time to join us on today's call. As previously disclosed, on January 2, 2025, we completed our acquisition of Newtek Technology Solutions, Inc. or NTS from NewtekOne, Inc. and we divested our Paltalk, Camfrog and Vumber applications and certain assets and liabilities related to such applications to Meteor Mobile Holdings, Inc. This marks our second quarter following the acquisition of NTS and divestiture of our core video chat products. We are pleased with the sequential progress made during our first 2 operational quarters after these transactions and our successful rebranding to Intelligent Protection Management Corp. or what we refer to as IPM. During this period, we've laid the groundwork from sales, marketing, accounting and human capital to position IPM to be poised for growth for the benefit of our customers, employees and shareholders. Since the closing of the transactions in January, we have successfully integrated our operations and service our existing customers without interruption. Moving forward, we believe we are now well positioned to grow the company through the expansion of our services offerings to our existing legacy NTS customers while cross-selling our ManyCam software and varying new services to our historical web hosting customer base. We expect this strategy to lead to further growth and enhancement of our operational efficiencies all focused on driving stockholder value. Today, more than ever, cybersecurity and cloud infrastructure are critical to protecting sensitive data, ensuring business continuity and securing a digital economy in an era of growing cyber threats. We have an exciting opportunity to build out a company that can become one of the leading managed technology solutions providers with a focus on cybersecurity and cloud infrastructure. As we see it, our job is to protect the heart and soul of virtually all businesses today, their data, client information, intellectual property, financial data, among other things. There are a lot of bad players out there, individual hackers, criminal organizations, hostile governments looking to attack American corporations and citizens. I have spent the better part of my career in the technology managed services business as have the majority of the IPM senior management team. The deep industry experience has led us to provide a White Glove, High Touch service to our clients. Every one of our clients has a dedicated technology manager as a single point of contact. We do not use voice response, telephonic menus or hand off service calls to agents in call centers and foreign countries. Our clients speak directly to their IPM account team in the United States, people that are familiar with the needs of their business and the history of their account. This is an important IPM advantage. We have significant technological expertise, and we operate in a large and growing market where IPM is industry certified, including legal, health care and finance, giving us another significant competitive advantage versus our peers. We expect those advantages to become more apparent in the quarter and years to come. Focusing in on the just completed second quarter IPM was selected by Hewlett Packard Enterprise to be an accredited partner for its HPE Private Cloud AI solution. We initiated a collaboration with IT Ally, a trusted business and technology services provider focused on lower middle market private equity firms and their portfolio companies. Also during the quarter, the Board approved a stock repurchase plan for up to $400,000 of our outstanding common stock and IPM commenced offering Aura, a leading AI-powered online safety solution for individuals and families designed to help minimize the impact of data breaches, scams and other online threats on consumers. In regard to our previously disclosed patent litigation, on August 29, 2024, jury awarded us $65.7 million in the jury verdict in connection with a lawsuit against WebEx Communications, Cisco WebEx LLC and Cisco Systems in the U.S. District Court for the Western District of Texas. On October 8, 2024, an order granting a motion for final judgment was entered into by the court in connection with the lawsuit. The final judgment was entered in our favor in the amount of the award and started the time for filing any post-trial motions or appeals. The exact amount of the award proceeds to be received by us will be determined based on a number of factors and will reflect the deduction of significant litigation-related expenses, including legal fees. As we have previously indicated, we estimate that we would receive no more than 1/3 of the gross proceeds in connection with the awards subject to post-trial proceedings, including any potential appellate court proceedings by Cisco. We have not recorded any gain contingency in connection with this award. Having our NTS assets transition from being a division of a larger banking company to a company focused on technology managed services over the course of the first 6 months of 2025 has been gratifying. We look forward to many opportunities to dramatically expand our business in the coming years. With that, let me turn the call over to Kara Jenny, our CFO, for a summary of our financial results for the second quarter and the 6 months ended June 30, 2025. Following Kara's remarks, we'll move into the Q&A portion and answer questions that were submitted by e-mail prior to this call. I'll hand it to you, Kara.
Kara B. Jenny: Thank you, Jason. As Jason indicated, we acquired the operations of NTS on January 2, 2025, and rebranded our company to Intelligent Management Protection Corp., or IPM. The quarterly financial comparisons of IPM and the former NTS as a division of NewtekOne are not comparable from a GAAP perspective. IPM financials will become comparable on a GAAP basis as of the first quarter of 2026. For the 3 months ended June 30, 2025, revenue totaled $5.7 million compared to $0.3 million for the prior year period. On a sequential basis, revenue increased 4% from the first quarter of 2025. Revenue for the 6 months ended June 30, 2025, totaled $11.2 million compared to $0.5 million in the prior year period. Total revenue by revenue stream for the 3 and 6 months period ended June 30, 2025, were as follows: Managed Information Technology revenue was $3.5 million and $7.1 million, respectively. Procurement revenue was $1.2 million and $2.2 million, respectively. Professional services revenue was $0.7 million and $1.4 million, respectively, and subscription revenue was $0.3 million and $0.6 million, respectively. Net loss from continuing operations for the 3 months ended June 30, 2025, totaled $1.1 million compared to a net loss of $1.3 million for the 3 months ended June 30, 2024. Net loss from continuing operations for the 6 months ended June 30, 2025, totaled $0.2 million compared to a net loss from continuing operations of $1.6 million for the prior 6 months ended June 30, 2024. The reduction in net loss was attributed to IPM recording an income tax benefit during the first quarter of approximately $2.1 million in connection with the aforementioned transactions. Net loss for the 3 months ended June 30, 2025, totaled $1.1 million compared to a net loss of $0.8 million for the 3 months ended June 30, 2024. Net loss for the 6 months ended June 30, 2025, totaled $0.2 million compared to a net loss of $1.1 million for the 6 months ended June 30, 2024. Adjusted EBITDA for the 3 months ended June 30, 2025, was negative $0.4 million compared to negative $0.9 million for the 3 months ended June 30, 2024, while adjusted EBITDA for the 6 months ended June 30, 2025, was negative $0.9 million compared to negative $1.4 million for the 6 months ended June 30, 2024. As of June 30, 2025, we had no long-term debt and cash equivalents included $8.3 million, including $1 million of restricted cash. Cash provided by operations for the 6 months ended June 30, 2025, was $0.9 million compared to cash used in continuing operations for the 6 months ended June 30, 2024, of $0.1 million. IPM reported deferred revenue of $3.9 million to be recognized as revenue in future quarters as products and/or services are installed. We will now move on to questions.
Joe Diaz: Thanks, Kara. The first question submitted by investors has to do with restricted cash. Help us understand the $1.0 million in restricted cash. Are the funds prepayments by customers or tied to any specific obligations or covenants? Why is it classified as restricted cash?
Jason Katz: It's a great question. As we discussed at the end of last quarter, we entered into a credit agreement with an affiliate of NewtekOne, Inc. that provides for a secured revolving line of credit. Line of credit is collateralized by a CD in the amount of $1 million. So we've classified it as restricted cash as of June 30, 2025. There were no amounts borrowed on the line of credit are due on the line.
Joe Diaz: Okay. You've spoken about various ways to increase revenues, including cross-selling existing clients, NewtekOne referrals, free security evaluations and potential M&A transaction. Can you discuss which activity you might expect to generate the most traction for the remainder of the year?
Jason Katz: Sure. I'm excited about the referral program we have in place. And even in its infancy, we have started to see introduction start to cultivate. We stand by our products and services and believe that word of mouth is an easy, cost-effective way to promote them.
Joe Diaz: How should we think about growth and margin improvement over the next 6 to 12 months? What do you think provides the best way for an outsider to judge the company's progress?
Jason Katz: Well, with the understanding that revenue can be lumpy due to revenue recognition, our aim is to continue to increase top line consecutive growth and to continue to improve adjusted EBITDA with the goal towards being adjusted EBITDA positive by early 2026. In addition, we're always looking for ways to reduce expenses as well as marketing initiatives to achieve that goal.
Joe Diaz: What effect, if any, could the current proposed tariff increases have on IPM's business?
Jason Katz: Well, we've evaluated our customer base and the services we're providing to them and do not anticipate that an increase in tariffs would have a material impact on our business in fiscal 2025. We will continue to stay on top of the issue like others in the industry and reassess based on the changing landscape.
Joe Diaz: Okay. That concludes our Q&A session here for today. Let me turn the call back over to Jason for closing remarks. Jason?
Jason Katz: Thanks, everyone, for your support and for joining us today. We are very grateful for your interest in our business. We look forward to updating the market on our progress as we continue to execute on our business plan. We expect to report our third quarter and 9 months 2025 results in early to mid-November. Have a great day.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.